Operator: Good morning. My name is Keith and I will be your conference operator today. At this time, I would like to welcome everyone to Goodyear’s Second Quarter 2017 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to hand the program over to Christina Zamarro, Goodyear’s Vice President, Investor Relations.
Christina Zamarro: Thank you, Keith, and thank you everyone for joining us for Goodyear’s second quarter 2017 earnings call. Joining me today are Rich Kramer, Chairman and Chief Executive Officer; and Laura Thompson, Executive Vice President and Chief Financial Officer. Before we get started, there are a few items we need to cover. To begin, the supporting slide presentation for today’s call can be found on our website at investor.goodyear.com, and a replay of this call will be available later today. Replay instructions were included in our earnings release issued earlier this morning. If I could now draw your attention to the Safe Harbor statement on Slide 2, I would like to remind participants on today’s call that our presentation includes some forward-looking statements about Goodyear’s future performance. Actual results could differ materially from those suggested by our comments today. The most significant factors that could affect future results are outlined in Goodyear’s filings with the SEC and in our earnings release. The company disclaims any intention or obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. Our financial results are presented on a GAAP basis and, in some cases, a non-GAAP basis. The non-GAAP financial measures discussed on the call are reconciled to the U.S. GAAP equivalent as part of the appendix to the slide presentation. And with that, I’ll turn the call over to Rich.
Rich Kramer: Thanks, Christina, and good morning, everyone. As always we appreciate you joining us today. This morning I will provide an overview of our second quarter results. I’ll also address industry conditions our outlook and some of the questions that are likely on your mind. Laura will follow with the financial review of the quarter and walk through the detail of our revised outlook. In the second quarter segment operating income was $361 million and SOI margin was 10% and an increasingly challenging overall industry environment, particularly in our consumer business. While these results were in line with the most recent guidance we provided for the quarter at an investor conference in June, I’m certainly not pleased with them. Before Laura gets into the detail, I will take a few moments to explain the key drivers of our second quarter performance and more importantly the implications on the balance of 2017 and 2018. As we told you on our first quarter call heading into the second quarter, we expected a decline in unit volume similar to the first quarter driven by our strategic reduction in some of the smaller rim size tires in EMEA and lower auto production. But the second quarter played out much differently than we had expected. We saw incremental weakness in the OE market especially in North America and China. During the second quarter, auto manufacturing inventories remained well above normal levels in the U.S. and China, due to softer demand than underlying production. We also saw incremental challenges in replacement, which I’ll address in a moment. As a result we produced our full year U.S. consumer OE industry outlook from about flat at the time of our first quarter call to down 4% to 5%. We continue to closely watch OE industry trends particularly in China. On Slide 4, I’ll cover the tire pricing environment through the first half of the year, as it had a very significant impact on our replacement volumes. I’ll note that while the data we’re showing on the chart is limited to the U.S. market. The pattern is indicative of the environment we have seen another regions particularly in the European summer tire market. First, a brief explanation of the chart. The green line is a U.S. government statistic called the tire producer price index, which measures the change in the manufacturer selling price of tires. The blue line is the average change in the price of Goodyear tires. Both lines are measured relative to December 2016. The graph on the left side of the chart is as of the June investor meeting and the right side is where the quarter ended. As we began the year, the industry was facing its steepest rise in raw material input costs in six years. In response we announced price increases that became effective in both the U.S. and Europe during the first quarter to help offset these raw material headwinds. And we didn’t just announce those increases we implemented them. As we said in June, our volume in April was significantly worse than we had anticipated. This was primarily due to the impact of the relative timing of our announced price increases has shown on the chart. As we exited the second quarter, our pricing stood more than 400 basis points higher than that of the overall industry versus year-end. This variance is markedly worse than what we expected and the revisions we’re making to our outlook today are reflective of the situation. In addition to adjustments to our forward assumptions on our price mix versus raw material, we have also adjusted our volume expectations for the third quarter due to our relative positioning in the marketplace today. We continue to have opportunities to pursue near-term volume increases, we recognize that these opportunities are largely an unprofitable declining segments of the market. Nonetheless the current environment does not change my perspective on the longer-term trajectory of our business. The value of a strategy is in its consistent execution regardless of industry and other external factors. And I can tell you that we will continue our consistent execution of our strategy. We see these challenges as near-term headwinds that we’re working through. The tire industry is subject to periodic volatility that we are well equipped to deal with. What we’re experiencing today is more reflective of the turbulence of the environment than indicative of industry trends. On Slide 5, we’ve outlined several of the factors that have contributed to this very challenging first half. First, and perhaps most significantly, the rapid increase we saw in raw materials earlier in the year was followed by an equally extreme decrease. This is uncharacteristic versus the traditional patterns we’ve seen in our raw material costs over the last 10 years. Second, sellout trends in the first half were down about 2%, leading to higher than normal inventory in the channel. This inventory build was further exacerbated by a significant amount of industry pre-buy during the first quarter. And third, the OE industry has weakened throughout the year, which added incremental pressure in the replacement market, particularly in the U.S. As I mentioned earlier, the industry is feeling the impact from a lower SAR this year and from the OE’s planned inventory reductions in 2017. The combination of these three factors has led to a first half environment unlike anything that I have ever seen given the favorable trends and miles-driven gasoline prices and employment, which are trends generally supportive of our industry. As you would expect, our response to this anomaly was consistent with our strategy. We didn’t overreact to distorted market conditions and the weaker sellout environment. We didn’t chase unprofitable volume and we stuck to our strategy of pricing for the value of our products and brands in the marketplace. And we did not load our distributor shelves with third and fourth quarter volume at discounted prices today. Instead, we stayed focused in an environment that would have made it easy to divert from our strategy. That focus led our businesses to deliver 10% operating margin and relatively stable price versus raw materials in our consumer replacement business. So it’s in that context that I’m very comfortable with the decisions we made in the quarter despite the short-term results that they produced. Going forward, we will continue to offer a compelling value proposition with new products for our customers and consumers that will win in the marketplace. Staying disciplined in this challenging environment will position us well for the remainder of 2017 and for 2018 when we expect to see solid demand for our products to continue. On Slide 6, we’ve shown the trend in our growth in the greater than 17-inch segment of the market over the last several quarters. While the majority of the volume impact we felt in the second quarter was focused in the smaller room segments, we did still see a temporary impact in the greater than 17-inch segment during the second quarter. By June, our run rate in the U.S. had returned to a more normalized level, and we expect that level of performance in the future. With the majority of the competitive pressures during the first half occurring in the smaller room sizes, we accelerated the closure of our Phillipsburg factory. The factory was officially closed earlier this month, about six months sooner than planned. We will continue to look for additional opportunities to reduce our exposure in this declining, less profitable segment of the market. Our strategy is designed to take advantage of the long-term trends shaping our industry. Global demand for high-value- added large rim diameter tires is increasing. This trend will continue into the future and works in our favor as our portfolio of award-winning products and our connected business model position us on a path to sustained growth and competitive advantage. Looking ahead to the remainder of the year and into next year, we see many of the headwinds we’ve been facing becoming more constructive. Sellout trends have been positive in both May and June and more reflective of our longer-term expectations. The improved sellout should reduce channel inventory levels as we head into the fourth quarter. In addition, at current spot prices, raw materials will be a significant tailwind in 2018 as well. We also anticipate our fourth quarter exit margins to be very strong as our raw material headwinds begin to subside in the fourth quarter. Turning to Slide 9 and looking ahead to the remainder of the year and into next year. We see downward pressure on our 2017 outlook in the $1.6 billion to $1.65 billion range. Our intent is to at least regain that lost ground in 2018. As it relates to 2018, we continue to see multiple sources of increased earnings. First, improved volume growth in our replacement businesses as the price raws environment normalizes relative to 2017. This benefits both sales volume and unabsorbed overhead. Second, the continued recovery in our U.S. commercial business. Third, a tailwind from net price/mix versus raw materials. We have a demonstrated history of being able to offset raw material headwinds over time, and we will continue to see great mix-up in our business. And fourth, continued cost savings from our operational excellence initiatives and from the Phillipsburg plant closure. I am confident that our long-term growth trajectory will continue to be strong and that the underlying trends in our industry play to our strengths. Having been through multiple cycles of the tire industry, I can say that Goodyear is better prepared than ever to handle the volatility of our global industry and come out of it even stronger. We expected external headwinds to occur in our 2020 plan, that’s the tire business. But candidly, we didn’t expect that, that occur in 2017, but that’s reality and we’re actively working through it. As we look to the future, we’ve been more focused on capitalizing on the trends that are shaping our industry over the years to come, which we outlined at our Investor Day last September. The mobility ecosystem is changing rapidly. Whether it be from changes in consumer experiences, mastering complexity or in autonomous vehicles and the service model that comes with them, we are attuned to the long-term opportunities and our ability to capitalize on them. This quarter’s results or some bumps along the way don’t diminish our optimism or our focus. As I discussed in my opening remarks, we remain confident in our ability to deliver strong results over the long term because of our commitment to and execution of our strategy. We will not chase volume for volume sake, we will price for the value of our products and brands in the marketplace. We will compete for a profitable growth in our targeted market segments where the value of the Goodyear brand are innovative quality products, our pervasive distribution and service networks and the best team in the industry provide us with a competitive advantage. And as I said often, we’re not running our business for one good quarter or one good year, but to drive sustainable value creation over the long-term. Now, I’ll turn the call over to Laura.
Laura Thompson: Thank you, Rich. I’ll begin with the income statement on Slide 10. Our unit volume was down 10% year-over-year, and was driven by two factors. First, lower overall OE demand and second, lower consumer replacement volume following a weaker sell-in environment during the quarter. And in that market, we were further impacted by the relative timing of our price increases. Our second quarter sales were $3.7 billion down 5% from a year ago. Our second quarter sales reflect higher revenue per tire of 4% excluding currency, which was more than offset by the lower volume particularly in the U.S. and Europe. Segment operating income was $361 million for the quarter, and our SOI margin was 9.8%. Our second quarter earnings per share on a diluted basis was $0.58, and our results were influenced by certain significant items and adjusting for these items our earnings per share was $0.70. The step chart on Slide 11, walks second quarter 2016 segment operating income to second quarter 2017. The negative impact of lower volume was $98 million unabsorbed overhead was $40 million. Increased raw material costs of $189 million more than offset improved price mix of $127 million for a net headwind of $62 million, which was primarily driven by the timing lag in our OE RMI indexed agreement. Raw material costs were up 21% year-over-year. Cost saving actions of $59 million driven by our operational excellence initiative and efficiencies in SAG more than offset the $34 million negative impact of inflation delivering a net benefit of $25 million in the quarter. Foreign currency exchange with a modest headwind of $3 million and other was a benefit of $8 million. Turning to the balance sheet on Slide 12, cash and cash equivalents at the end of the quarter were about $900 million. Total debt is down $160 million and net debt is up $75 million from a year ago. Free cash flow as shown on Slide 13, for the quarter we used $125 million in free cash flow reflecting capital expenditures of $226 million and an increase in working capital of $166 million, which was driven by higher raw material costs reflected in our inventory. Cash flow from operating activities shows cash generation of $101 million for the quarter, $204 million less than the prior year, the difference is primarily due to the impact of higher raw material costs on working capital and lower net income. Turning to Slide 14, the Americas reported quarterly segment operating income of $213 million, excuse me, or 10.5% to sales. This reflects a $78 million decrease versus 2016 driven by the impact of lower consumer volume and unfavorable factory overhead resulting from production adjustments. Unit sales in the second quarter were 17.1 million tires down 9% versus 2016. Our U.S. and Canada consumer OE business was impacted by overall OEM production reductions and the timing of fitments. Our consumer replacement volume was down 9% versus 2016 driven by a significant decrease in April. U.S. consumer replacement volume was up 1% in May and June. Commercial OE unit volume was up 1% in the quarter and commercial replacement volume was down 6%, both reflecting a sequential improvement from the first quarter. We feel good about the improved performance of commercial truck during the quarter and its potential in the second half of the year. Americas earnings in the second quarter reflect solid performance given raw material headwinds and market volatility. The region is well position to continue to execute their strategy going forward. Turning to Slide 15, Europe, Middle East and Africa reported segment operating income of $77 million in the quarter, which represents a decrease of $71 million versus 2016. This decrease was driven by overall less volume. Higher raw material costs and lower consumer volume were partially offset by improved price mix in the consumer replacement business and our continued focus on cost saving. Unit sales were $13 million in the second quarter, the volume decline primarily relates to the consumer replacement business and it is attributable to increased competition and lower summer tire industry demand. The summer tire industry challenges were slightly offset by growth in our winter tire volumes, which increased 10% compared to 2016. Our strong [Audio Dip] position has us well positioned to capture consumer demand in the winter market during the second half. OE unit volume was down 11% primarily in our consumer business driven by lower industry demand. Results for the commercial truck business decreased driven by unfavorable price mix versus raw materials in the replacement business and lower volumes. Similar to consumer, our commercial truck business was also impacted by the relative timing of our price increases. And as Rich mentioned, the closure of our plant in Philippsburg, Germany was completed in July. The closure eliminates 6 million units of capacity, primarily in less than 17-inch segment of the market. As part of the restructuring plan, we will reallocate production of the larger more profitable sizes to existing lower cost facilities within our footprint. This action further enable our focus on high value segments of the market, while continuing to reduce our exposure to decline in segments. We continued to execute plans for EMEA to enable growth and profitable market segments and to deliver sustainable earnings growth. Turning to Slide 16, Asia-Pacific delivered second quarter segment operating income of $71 million, a $21 million decrease versus last year. The decrease was mainly driven by significantly higher raw material cost which more than offset the impact of higher prices and favorable mix. This was especially visible in our OE business, where raw material index base agreements tend to follow raw material price with the timeline. Asia-Pacific’s volume was 7.3 million units, relatively flat compared to the same quarter last year. The sales volume of replacement tires was slightly lower versus last year, mainly in our commercial replacement business due to price increases, we announced earlier in the year. On the other hand, our consumer replacement business grew 1% year-over-year, driven by growth in the 17-inch and above segment. Our OE volume was up 2%, primarily due to continued market growth in the region supported by a rebound of new car sales in India. This growth was partially offset by industry weakness in China, driven by the reduction of tax incentives for new car purchases. Despite the short-term headwinds from higher raw material and fluctuations in the China OE industry, we are confident about the region’s growth opportunity. Next I’ll cover the changes and the drivers of our outlook on Slide 17. We now see full year volume down about 3.5% from 2016, with volume down about 3% in the third quarter. This volume reduction will generate higher unabsorbed overhead as we align production in our factories with our revised forecast. We expect the third quarters unabsorbed overhead to be similar to the second quarter. In line with our comments in June, we expect our full year raw material cost headwind to be about $700 million based on current spot rates, with the third quarter representing about a 32% increase versus last year. Our net price mix versus raw material assumption is now a headwind of about $175 million, following adjustment as a result of the competitive industry environment. The majority of this headwind will occur during the third quarter, when our raw material headwinds peak at $300 million. Net cost savings remain at $140 million, as we continue to see solid benefits from our operational excellence initiatives. Moving to foreign exchange, we now expect this to be neutral for the year based on current spot rates. Other is a negative of $30 million for the year, as lower expected incentive compensation will partially offset plant startup costs and incremental depreciation in R&D. We expect the third quarter to be negative $30 million and the fourth quarter to be about flat. Taking these drivers together, our 2017 SOI outlook is now $1.6 billion to $1.65 billion. Other financial assumptions are shown on Slide 18 and there are only a few changes. We continue to expect strong free cash flow in 2017. We lowered our capital expenditure assumption from about a $1 billion to $800 million to $900 million for the year, as we align our spend to current market needs. Working capital will be a use of $150 million. In addition, we now estimate our restructuring payments will be about $225 million for the year, following the accelerated closure of a plant in Philippsburg, Germany. Finally, we continue to expect execute against our capital allocation plan. We intend to purchase about $400 million in stock in total for the year, which leaves about $370 million, with subject to our performance, we expect to completely over the balance of the year. Now, we’ll open the line up for your questions.
Operator: [Operator Instructions] We take our first question from David Tamberrino with Goldman Sachs. Please go ahead.
Rich Kramer: Good morning, David.
David Tamberrino: Good morning, Rich, good morning Laura. Thanks for taking our questions here. I think the first question that I have and several investors have, because it was noticeably absent from the slide deck and it was in the June 14 presentation. Where you’re seeing today and where you see 2018 shaping up? Are you still on track in your view for the 2020 SOI target of $3 billion? And I ask that not just for what’s going on today within the market, but also from some of the underlying assumptions you had for USR, I think you were using some LMC automotive forecast, which had like an $18 million SAR in 2020, so I’m trying to understand how you feel about that guidance almost a year in now and given what’s going on within the market.
Laura Thompson: Okay. Sure, David. Maybe I’ll start and then Rich can fill in if you’d like. So I think, David, there is no doubt last September when we laid out our long-term plan, right, we knew headwinds were possible. They always come up in our industry. But clearly, we didn’t know how to anticipate them in the early part of the first year of that plan. However, as we sit here today, we see a lot of these headwinds as temporary in nature, but there is no doubt that while things are quite volatile at this time period, we’ll have to get back to you and walk you through that. The underlying fundamentals, as Rich walked through in his script and as we’ll see in the numbers and continue to see in the numbers going forward remain very strong, and we’re confident in those drivers. But there is no doubt that what’s going on in the first year of that plan absolutely has an impact on it. But again, I just – I keep talking about this, the temporary nature is there for the headwind, and we feel very confident that, that – the underlying trends in the industry are still very strong, and we’re in a great position with our strength to drive growth through those trends, frankly.
Rich Kramer: Yes. David, I would just echo Laura’s comments. I’d say, as I said in my script, we expected headwinds. We didn’t expect them so soon. So we got there work our way through. And I think in this time, we need a little time to see how the second half shapes up. Again, we’ve made some adjustments that we’re very comfortable with and then we’ll be back to you with an update going forward. I think it’s a little premature for us to answer that question as concretely as you’re asking right now, a lot of moving parts. I will tell you, again, because I think it’s the core of our 2020 plan are the megatrends that underlie the drivers to hit those numbers. And I will tell you, those things we don’t really view as changing. You mentioned the SAR, which forecasts are going down. You all probably seen the numbers again today of sellouts are there, auto, sales and inventories and the like. But we also know that a lot of those plant closures in the second half are the retool, and those retoolings are going to be for exactly the type of tires that we want to sell or we want to sell to or we want to be on going forward both at OEM replacements. So a lot of those megatrends, they’re still alive. They’re still there. We’re working through what’s the tumultuous environment situation. So it makes a little hard at this moment to be candid to answer that question as definitively as you like. But we will – we’ll certainly update that as we go by the end of the year.
David Tamberrino: Understood. That’s fair. And then just a second one from me. As we think about the change we saw that tire PPI inflection downward into June from May after it was coming up nicely. Can you just kind of walk us through what you were seeing within the environment from your competitors mostly because the price/mix less raws variance is about $200 million from where were a month ago versus, or say, where we are today. What really drove that pretty meaningful change? Is it competitors that were in following through with the price increases, competitors just looking to take share and pricing down? Maybe just walk us through help us understand.
Rich Kramer: So David, as you’d expect, I certainly can’t comment on what others have done in the industry. We tried to use that PPI chart as sort of an indicator for you to see some of the trends that are out in the marketplace, if you will. I will tell you, I can comment for us, and clearly, our strategy is clear. Our strategy is to recover the value of our products, whether that’s branding, whether that’s innovation, technology and raw materials, clearly, an element of that. And that’s what we did. That’s what we told you that we were going to do. And as we look at our blue line on there and if you look at Slide 7 on our price/mix per tire and the sequential improvements, Q1 to Q2 and then on into the second half, we see the raw materials are there. We see that we need to go capture the value of our brands, and that’s what we’re – that’s what our intent is and that’s what we’re doing.
Laura Thompson: Yes. And I would say, David, I think to add on to that, maybe I think Slide 5 as we, again, try to just explain what’s going on out there. As Rich said, the PPI shows that in the end result, but I think in the first half of the year, we just have this very complex environment unlike anything we’ve seen before, right. With the raws rising so rapidly, you all remember that from the fall and oil rising and then dropping. And then you have sellout down dramatically in the first part of the year, the OE pressure on top of it. I think we really – what we see going on in the industry is, again, more about that environment as opposed to some kind of a trend.
David Tamberrino: Okay. And just lastly looking at Slide 6, the volume growth reacceleration, how much of that is driven by improved retail sellouts and inventories more in line versus more capacity coming on line for you from your Mexico facility?
Laura Thompson: Sure. So I think if you – as we spoke to the second half of the year, right, and we see our volume for the full year down about 3.5%, we have, for the U.S., I think, in the U.S., we do see sellout improving. We saw it a little better in June. So we – based in our assumptions is that we kind of get back to about flat for the year in terms of industry in the U.S. environment, if that helps.
David Tamberrino: It does. Thank you. I’ll turn it over.
Rich Kramer: Thanks, David.
Laura Thompson: Thanks, David.
Operator: We’ll take our next question from Itay Michaeli with the Citi. Please go ahead.
Itay Michaeli: Great. Thank you.
Rich Kramer: Good morning, Itay.
Itay Michaeli: Good morning. Maybe just stick to Slide 6. Can you talk a little bit more what kind of what happened in the quarter specifically and then I think, Laura, you mentioned June looking was better, how does July look thus far? What gives you confidence in the 10% for the second half kind of recovery there?
Rich Kramer: Yes. So Itay, I think in a macro sense, again, I think as a look at the second quarter and you look at Laura’s comments in June relative to the second quarter, it’s pretty much in line with what we thought was going to happen. I think if you think about the adjustments we’ve made going forward and maybe to build on what Laura said, what’s happening and what drove even the decrease you see in Page 6 in the second quarter. Again, you have this current situation that we would say is not really reflective of a change in industry trends, but more of a function of the current environment. Again, rapidly rising raw material cost up to 30%, then we had a big prebuy, put – had a lot of tires industry-wide into the channels, so you have full channels there. Add to that, we had a weak sellout environment going on, and then that comes in and sort of exacerbated by unequally almost significantly fast or violent decrease in raw material prices. So you have all these things pulling together that had somewhat of a tumultuous environment that we’re seeing. And then add on to that, the little – the weaker OE environment that we have and you kind of got what’s happening in the second quarter. In that environment, and as you look at that bar, I would tell you that as I mentioned earlier, we had a plan, we stuck to our strategy. We have raw material prices going up starting really at the beginning of the year. Our peak will be in Q3. We have about $470 million in raw materials to offset in the second half. We have significant raw materials in Q2. As we said, we’re going to capture the value of our brand. We did what we said, and a consequence of that is, I think, Laura even alluded to in June is that we lost volume for that. That’s what you see in that bar right there. I don’t like losing volume, but as I said in my script, we’re comfortable with the decisions we made because we have to capture the value of our brands going forward. We can’t get behind on our costs, raw material being one of them. And as we’ve often said, capturing and offsetting that raw material with price/mix sometimes takes longer than others. We could be in one of those environments, but we’re confident in what we did. We’re confident this is sort of the tumultuous period. And that’s kind of what we think – what our view is to what happened in Q2.
Laura Thompson: Yes. And I think as you go to the second half, Itay just maybe for modelling to help you, overall, as we see our volume down 3.5% for the full year, in – obviously, given what’s going on, we’ve lowered our expectations, frankly, right, as we go here. So we see this as manageable. Especially for the third quarter, given that channel inventory that Rich talked about, our expectations are not high for the third quarter. We see our volume probably down about 3% in total. Now we do see the fourth quarter start to come back a little bit. As that inventory works through, the sellout get back more to flat. And then for the fourth quarter, we – in terms of total volume, we certainly have China OE, better year – much better year-over-year, things like that. If that helps maybe third quarter, fourth quarter view.
Itay Michaeli: Yes, that’s very helpful. Thanks very much for the detail. My follow-up question is on CapEx being pulled back. Can you specifically talk about where are you able to find some savings there? And how to think about CapEx beyond 2017 given that you do think volume will come back further 2018?
Rich Kramer: Itay, I’ll start kind of way our philosophical view on this, and that’s always that we want to be very judicious allocators of capital, CapEx being one of those buckets. And when we see the volume impacts that we’ve had here, it just causes us very prudently to go back and look at our capacity, look at the additions we had and reassess the timing. We would tell you, we’re not impacting our sort of 17-inch and above capacity or other strategic investments that we want to make. But at the end of the day, we will go back, and I can assure you, we’re scrubbing through those projects that, yes, we might need. But look, the reality of where we’re at, where the industries at for the moment, we’re going to go back and take a hard look at those and that’s the change that you’re seeing.
Itay Michaeli: And maybe just a quick follow-up on that. Does the cutback in CapEx potentially affect how we should think about future net cost savings in the out years? I know you have the number out up to 2018 as we think about that going forward, is there…
Rich Kramer: No. Itay, of course, you’re absolutely right, CapEx does go into efficiency and consequently cost savings, but our drivers of operation excellence initiatives aren’t rooted solely in our capital expenditures. They’re rooted on projects we’re working on the ground floor of all our locations. So no, I would not equate it to.
Itay Michaeli: That’s very helpful. Thank you so much.
Operator: We’ll take our next question Rod Lache with Deutsche Bank. Please go ahead.
Rich Kramer: Good morning, Rod.
Rod Lache: Hi, Rich, good morning. I hopped on a bit late and I missed part of your script, Rich. But I wanted to probe a couple of things. Obviously, it’s a pretty volatile environment, but this is the fourth downward revision to guidance in the past year. And this one came about a month after you just provided an update in mid-July – mid-June actually. actually. So did something really change here from your perspective between mid-June and mid-July, because, obviously, we’ve been hearing about very weak demand and price competition through the quarter?
Rich Kramer: Yes. So Rod, I guess what I would refer you back to Slide 4. And what we tried to do on Slide 4, that’s where we compare the average price of a Goodyear Tire to an industry PPI, which we were using as a way for you to think about this. And what we tried to layout is what the expectation for the balance of the year was as of our June conference versus what we saw having more real-time data and information subsequent to the quarter. And remember, a lot of activity happens at the end of June and, of course, we’ve seen it into July as well in terms of our analysis of what’s happening out in the market. So if you say what’s happened, what we did was look at our position in the marketplace and making along with other factors that we referred to, higher channel inventory, weak sellout, weaker OE, decreasing raw material prices, as well as our competitive position. And it just cost us to look at the back half of the year and say, okay, what were the assumptions that we had for our price/mix versus raw materials and how did reassess those? And I would have you then look at Slide 7, and what you see there is our price/mix per tire on the right-hand of that slide. What you see is still sequential increases. What you’d be right to assume is those sequential increases are perhaps lower than previously planned. So I would say an assessment of the market, assessment what’s going on and then making some adjustments.
Laura Thompson: And I think, Rod, just as you said, raws were rising dramatically at the end of the year and we wanted to get out ahead of that, get our price increases in place as we announced them. It doesn’t mean that just like we talked about in Investor Day, and I think the slide is in the deck again here today, it doesn’t mean we won’t recover with price/mix, the raw material headwinds coming. This is timing, right? It’s over time.
Rod Lache: Yes. The Slide 7 on the right, I presume is year-over-year. The Slide 4 that was the word the PPI bending down. Just shows Goodyear kind of moving in an upward up into the right. Is it fair to assume that just look – that you guys made a reassessment of what the market looks like and you’re starting to bend your curve down maybe to follow what the industry is doing.
Rich Kramer: Rod, I would say refer you to Slide 7 as well. We’re not bending the curve down.
Laura Thompson: Yes. So look as Page 4. Where is the – look at the scale, right? 5%. Look at the Q4 chart right on Page 7.
Rod Lache: Right, right. But there were sequential declines last year. So we can follow-up on that last – offline. But you’re thinking that you will recover despite maintaining the discipline apparently in your guidance. I want to probe also just the thesis that you laid out on last year on the tight supply-demand for 17-inch and greater tires. There was a slide, I can’t remember that you probably remember what I’m referring to, but generally, it showed something like here’s five years of what we think supply is going to do worldwide and you had North America, Europe, Asia and you showed just five years of what we think demand is going to do. And if I remember correctly, it was something like 200 million units of additional capacity that you saw over five years, so 40 million a year and you thought demand growth would be in line or better. So at this point, are you seeing more capacity than you thought or less demand than you thought? Because clearly, some players are turning more aggressive or having some additional availability.
Laura Thompson: Yes, I think the answer to your question directly is no, right? We continue to see this very strong demand. Nothing changes about that chart. I know, which one you’re referring to. We do have short time periods in between. As we always said, nothing goes up, just in the straight line. So in any short period of time, incremental volume can have an impact. But nothing changes about the fact that the mix-up is happening, the industry needs those tires. We still do not see – we continue, I think, to see favorable demand for that greater than 17-inch over the next five years.
Rich Kramer: And Rod, I mean, I think your question is a fair one and clearly one that we’re thinking through even in the context of Itay’s question on capital allocation like in the long-term. And again, I have to come back and say and you’ve been around long enough as well. Our industry, as I said, doesn’t really move in a straight line. And what we’re seeing is obviously the tumultuousness that you referred to, but it doesn’t – we’re not changing our view of the long term. We’re not changing our view of the profit pools for 17-inch and above. We’re not changing our view of what the demands of the OEMs are going to be. We’re not coming from a different place on that at all. In fact, the OEMs are working on new models, new SUVs, new light trucks, new things like that coming out, which is exactly the place of the strengths that we have. So from our perspective, clearly, we’ve got to work through the situation we have and we’re not – we are not coming off our strategy to recover the value of our products, and those charts are intended to try to work that through. And again, you made reference to an offline discussion. Christina will certainly walk you through that. But because we’re seeing some of the tumultuousness doesn’t really change what we’re doing. It’s that our business. And Rod, finally, I’d say, our job, when we see a raw material headwind of as much as 30% at the beginning of the year. Our job is to go and, again, capture the value of our products, including all those input costs. That’s what we need to do, and that’s what our strategy is.
Rod Lache: One last thing if I could just interject. The – on Slide 4, if you were to disaggregate that industry PPI into 17-inch and greater versus broad line tires. Are you seeing a significant difference in that bend down in pricing?
Rich Kramer: Rod, that’s a – I’ll answer it this way. I will tell you, the market for 17-inch and above remains very strong. If you look what we showed our Q2 volumes went down, but that was more of a function of our position in the marketplace than any industry trend. And again, as we said in our comments, and I think Laura mentioned that trend has already reversed itself in June and that’s what we expect to see over the balance of the year. So that market hasn’t changed Rod.
Rod Lache: Okay. Thank you.
Rich Kramer: Thank you.
Operator: We’ll take our next question from Ryan Brinkman with JPMorgan. Please go ahead.
Ryan Brinkman: Great. Thanks for taking my question. First one is just on Americas volume down 10%, RMA replacements were down just 1%. I realized that your number it includes OE and it’s not just the U.S., LATAM’s got to be soft. But still just a big difference, suggest that you did lose a decent amount of share. Can you talk about what you think the biggest drivers of that are? And if also I am curious, if the share loss that you think was less than the retail channel, than it was for our shipments.
Rich Kramer: Ryan, I think in terms of the volume decrease we have, I would say it’s just simply a direct function of our position in the marketplace. And as we’ve been talking about, I think it’s really no more than that. As you see on Slide 4, where we showed sort of the difference of us in the marketplace, the simple answer is the end of result was the volume loss that we had. And on top of that, obviously, you have the market that we’re dealing with right now that has, as I said, high inventories had a lot of pre-buy in the first quarter, you had slow sell out. And all those things sort of as we mentioned wrapped up into the environment that we had. And as we struck to our strategy, we saw a volume loss. I think and as I said on my comments, I’m very happy with the decisions we’ve made. It costs us volume, our job is to go and get that back. And as we said, we see 2018 is a way to go do that. And as Laura said, we see those volume trends even improving, on a sequential basis, in Q3 and Q4.
Laura Thompson: And when you think about Q2, remember that really, really bad April, right? And then we started to see a much better recovery as we went through May and June.
Ryan Brinkman: Okay, great, thanks. And I see you are maintaining the outlook for full-year cost savings versus general inflation. Is there any thought that you’re trying to cut a little bit deeper there into operating expense, just given the softer demand environment? What is the potential to maybe push a little harder there, without impacting RD in the year or something else that you judge critical?
Laura Thompson: Yes, so I think we’re – as we said earlier, we always are looking and pushing, right? At this point, we feel very comfortable with the estimate we have, the $140 million up for the year. And as you think about that, okay, I think we’re at $64 million or so $67 million through the first half. That will come equally. At this point, we see kind of for Q3 and Q4. But to your point, we always are looking, trust me, we will find every dollar we can, as we look through that. But at this point, we feel comfortable with the $140 million.
Ryan Brinkman: Okay. And then just lastly from me. How should we think about the guidance that impact all your share repurchase plans? How do you sort of way the fact that, on the one hand your cash generation now it’s going to be less. But on the other of course, you can buyback the stock at a lower price. Thanks.
Laura Thompson: Sure, so we – so I would look at this way and say, we said, we’re going to spend about $400 million for the full-year. That leaves us about $370 million for the back half of the year. We’re going to get busy on that. We understand the stock is under pressure, we see it as under-valued absolutely. So we’re going to get busy on those programs. Okay?
Ryan Brinkman: Thank you.
Operator: Thank you. We’ll take our next question from Adam Jonas with Morgan Stanley.
Rich Kramer: Good morning, Adam.
Adam Jonas: Hey, good morning Rich and Laura. So just another way of, I guess, asking what the hell happened question in the second quarter, maybe from a end consumer standpoint, you obviously have a lot of data and a lot of physical downstream distribution and contacts et cetera. I mean, what’s happening at that moment, where the rubber is making contact with the road. Our consumers coming in with bald tires, is it that you had subprime or let’s say, folks that maybe could afford to buy a full sized SUV on some juice residual deal. But then when they add and replace a tire, skipper shock and they decided to run the tire. I mean, I’m just curious – anything on the – very, very and consumer side that you might be picking upon?
Laura Thompson: Yes, I mean I think that, yes, we don’t see anything different right in the underlying fundamentals of the industry that drive people to come in and buy tires to use upon, right. We don’t, we see miles driven continue to notch up. We see gas prices, as low. Good unemployment, sometimes following a really stronger OE environment you can have these time periods, just kind of in between before customers lock in the door. Yes, we see in our retail environment, people coming in with very bald tires. But we also see the normal traffic, but overall retail I’d say in the U.S. for us and for all others has just again been very soft, extremely soft through the month of May. Okay? And I should say, really bad in first quarter, still down through April, notch better May and June. And June and July kind of give us a view that we think we’ll end up flat for the year. But as you say, you get these quarters, several quarters in a row, where you have with a weak sell out, but it eventually catches back up.
Rich Kramer: And I’d echo Laura’s comments about it, it eventually catches up, which is what we would expect, because as we’ve gone through down cycles, one of the things that I do is, I go visit customers around stores, you kind of look at the tire piles from the back, from tires that have been removed. And in down economies, post Great Recession, when you see tires comes off, you’d see tire cords, you could just go out and feel and then look at treads. And see what tread depth was left if any, that’s not happening at all. We’re not seeing any of that right now. We’re just seeing sort of sell out has been sort of consistently running at the GDP levels, if you look like 1% to 2%. But we also know those replacements on the – what has been a very strong sorrow over the last years has become through and we’re well positioned to take advantage of that. So we expected to come, but candidly, as I said in my remarks, we’re a bit surprised that those underlying fundamental trend haven’t driven sell out, as much as we would have expected.
Adam Jonas: All right, thanks. And just maybe a follow-up. there is this thesis out there, that changes in the business model, say, Auto 2.0 things like ridesharing firms that become mega-fleet managers could be in position to one day, if not now, be buying many, many millions of tires on a commercial buy for their drivers. Just like Uber and Lyft what not, start to try to take some cough out and use their data to try to provide a fleet management solution, and better, better economics to their drivers. I guess the question is, are you, are you had a point, where you could have without singling out a specific ridesharing firm on this call. Are you having – your folks in the commercial side having those discussions with the ridesharing firms on how your products can meet their needs?
Rich Kramer: Adam, we are – one, I mean just to take a step back, your perspective on a shift to a customer changing overtime, more towards a fleet – a mega-fleet as you say is a trend that I think is ultimately going to happen, and to you point it’s to a degree happening already, which is a very positive trend. And as you know, one of our strength is managing fleets, through not just a tire, but through the service model that we have focusing on up time, focusing on cost per mile, focusing on service. Those types of elements make that business a very good business for us. So we do see that trend happening. And I would suggest to your point, we’re on the front end of seeing that happening. And those are the type of dialogues, we’re having with many, many of those players. As you know there is a wide range and a lot of clarity to fall out, is to how those things come together. In terms of what their business model looks like. But suffice it to say, the need for tires – the point of vehicle miles traveled going up and the need to provide a service to keep those vehicles going through some of those mega-fleets that are emerging are absolutely on our radar.
Adam Jonas: Okay. Thanks a lot.
Rich Kramer: Thank you.
Operator: We’ll take our next question from Emmanuel Rosner with Guggenheim. Please go ahead.
Emmanuel Rosner: Hi good morning everybody.
Rich Kramer: Hi, Emmanuel.
Laura Thompson: Good morning.
Emmanuel Rosner: Just wanted to apologize in advance I missed the beginning of the call. And so you may have explained and answered a lot of my question. Just wanted to get back on the – to Slide 6. I understand you’re rational for holding the bar on pricing and how you make strategic sense. But how do you get [indiscernible] that the disciplined pricing will not hurting your volumes on an ongoing basis. Or in other words, how do you get conviction on these, back to 10% growth for the second half and for 2018?
Rich Kramer: Well Emmanuel, I’ll start with the way I always do, because I think it’s absolutely key and that goes back to the value proposition that we have in the marketplace. It’s our products, it’s the technology in them. It’s the brand, it’s the marketing, it’s the service we bring to the dealers. And even in the second half for instance in North America, we have our new weather reading product coming out. All of those things are ultimately what matters and what will be attractive both to our distributors, our dealers, and to our consumers and those things that we have haven’t changed at all. So that’s the predicate of the conviction that we have, that we can continue forward in a very positive way. And on Slide 6 deliver those trends, those green bars after Q2 on that list. So that’s point number one. The current situation that we have is – as I mentioned, a few times and no need to apologize that you haven’t listened to the front part of it, but we’re going through a very – again a very difficult environment as opposed to a change in the industry, which just says we’re working through those high raw materials, a lot of pre-buy, a week sellout of things you’ve heard us talk about. And then the raw materials coming back down, so that’s the environment that we’ve been in. Now what gives us confidence on the second half is the outlook we’ve put forward, changes some of the assumptions that we had before relative to our position in the marketplace. Again Emmanuel, I would refer you to Slide 7 that you can see are our sequential view of where our price mix for tire is going, which shows a commitment to offset and cover those incremental raw materials. And as I think, Laura mentioned earlier as well. Our view of volume, we adjusted downward in the second half, we’ve taken into consideration some of the weaker OE, trends that are going on out there. So we have confidence that the value proposition we have in the position that we have is an appropriate way to go into the second half. And more importantly, positions us well to exit out of 2017 with some positive tailwinds of lower raw material cost of good margins coming out based on where our price/mix will be. And we’ll focus on protecting those, as we get into 2018. So we see a lot of positive things even coming out of 2017.
Laura Thompson: Exactly. And so I think, Emmanuel like Page 6, which is the greater than 17-inch consumer replacement, as we said, we see it more of what’s going on in the environment what occurred in the second quarter especially for April and because those fundamentals are trends in the industry are remain strong. We don’t see that and continue to not see that as we move through the second half of the year. And then as Rich said, our expectation is now for volume for the full year, it down 3.5% and as we think about the second half of the year – think of the third quarter as down about 3%. So we very much lowered our expectation there. We see the fourth quarter more like up about 3% or so, a lot driven by OE in China. So again, just kind of lying in there, we feel we’ve got realistic expectations as we look going forward.
Emmanuel Rosner: Okay. That’s helpful. And then I guess looking forward to on your Slide 9 and the 2018 positive SOI driver. So I guess the overall message is certainly a lot of these headwinds are temporary. And we will get offset into next year. What are some of the other SOI drivers to think about that could be potential offset. I mean very clearly not everything will be positive going into 2018. But if I sum up, what you have in there, we’re talking about a major jump in earnings according to your expectations?
Laura Thompson: You’re right, there’s always other things that come up. In 2020 plan, we talked about some incremental R&D expense, marketing. There’s a little more depreciation that’ll come in year-over-year, probably some incentive comp versus the prior year, those kinds of things. But we’ll – these are, again, what we see as the positive drivers going forward. We’ll continue to give you more and more detail about next year as it plays out for probably the back half here.
Emmanuel Rosner: Okay, great. And then just very quickly, when you look at sort of your updated SOI guidance, and I apologize if you went over that before. How do you see 3Q versus fourth quarter playing out?
Laura Thompson: So I think, our third quarter, we see, again, down significantly year-over-year, okay, similar to our second quarter in terms of percentages or so. We do see the fourth quarter starting to turn better. It’s a lot of the other things we talked about, the price/mix versus raws in the fourth quarter. The comp is much better year-over-year. Again, volumes in China there’s other moving pieces as you go through it. But that’s kind of how we see the second half kind of playing out.
Emmanuel Rosner: Great. Thank you very much.
Rich Kramer: Thanks, Emanuel.
Laura Thompson: Thank you.
Operator: And we’ll today’s last question from Ashik Kurian with Jefferies. Please go ahead.
Rich Kramer: Good morning, Ashik. How are you?
Ashik Kurian: Okay. Good morning. Thanks for taking my question. Just one on Slide 5. It’s interesting that you showed the raw material cycle and this clearly been away short cycle. I’m sure you must have than your price increases, but probably the biggest cycle in mind, and that’s probably why you suffered, now with the market share losses, but the upshot is probably the dealers who are all sitting with higher inventory of your competitive tires. I’m just wondering, how much of an impact does that have on the retail market share? I know someone asked this question, but I wasn’t very clear on the answer. But are you seeing in terms of the retail market share loss that you’re suffering and how long ago that last and could it be structural and how much does the dealer inventory determine the retail market share in the end?
Rich Kramer: I take – I mean, I’d say a couple of things. One, at the start of the year, you’re right, we were looking at 1.1 billion in raw materials. What I would say is what we saw not being able to forecast how long or how high, but we know when raw materials goes up, our job is to deal with those raw materials, and that’s what we did. But I would also tell you, we’re looking at 700 million of raw materials, which is still a 20% year-over-year increase. So the raw material costs are very real, and there’s something that needed to be dealt with, and we did. And as I said, we’re very comfortable having taken that decision. In terms of what this means on a retail sellout in market share position, number one, as you know, the sellout numbers are harder to get in terms of share. The share we see in the industry is more sell-in and sell-out. But I would suggest you, you haven’t gone through this in the past, dealers are very certainly very cognizant of what’s happening in the industry in terms of doing pre-buys or candidly the opposite. It’s the situation we’re in reverse. And I would say when we see the sort of big pre-buys of these big movements by the dealers they’re a bit more arbitrage on price from their perspective than they are indicative of changes in share positions in the industry. So I don’t really worry that that’s the case and I do that because of the underlying things that we have going on, the strong OE pull and the segments that we want to play, the brand, the distribution that we have, the other services, the other things that we offer to our wide distribution network that really outlast and are more important to them than sort of an opportunity to buy low, if you will. Those things will ultimately come through. They always have, and I don’t expect that to change at this point.
Ashik Kurian: Sorry to follow up on this. But I mean, my concern is, I mean, you flagged that on spot you’re probably looking at a tailwind and raw materials in 2018. Now the current environment doesn’t seem like one that you can keep all of it. So potentially tire makers will have to continue to give some of the prices back, and that’s why I raised my question as to what is going to force the sell-in to pick up in the second half, when you continuing to forecast plus 5% year-over-year incremental pricing.
Rich Kramer: Yes, Ashik. You also remember we said sell-out should start to get better in the second – we’re seeing it actually get better. So you’ll see some of that inventory go through, we would say it takes about round about a quarter to get through given what we know. So I do think sell-out trends will ultimately be better and I certainly can’t speak to what others are doing? But again, as we look at this we’re still looking at almost $470 million raw materials to offset in the back half of the year. So our value proposition, and as we bake that into our view for the second half of the year, I think based on what we know, we’re comfortable with that.
Ashik Kurian: Okay. Thank you.
Rich Kramer: Thanks, Ashik.
Laura Thompson: Thank you.
Rich Kramer: Okay. I think that was a last caller. Again, we appreciate everyone’s attention today. Thank you very much.
Operator: And this will conclude today’s program. Thanks for your participation. You may now disconnect. Have a great day.